Operator: Good morning and welcome to the GTT Communications’ Fourth Quarter 2018 Results Conference Call. All participants will be in listen-only mode. [Operator Instructions] Please also note today's event is being recorded. I would now like to turn the conference over to Chris McKee, General Counsel and Executive Vice President for Corporate Development. Please go ahead.
Chris McKee: Thank you and good morning. I'm joined today by Rick Calder, GTT's President and CEO; Mike Sicoli, GTT's Chief Financial Officer; and Brian Thompson, GTT's Executive Chairman of the Board. Today's discussion is being made available via webcast through the company's website, www.gtt.net. A telephonic replay of this call will be available for one week. Dial-in information for the replay as well as access to a replay of the webcast is also available on our website. Before we begin, I want to remind you that during today's call we'll be making forward-looking statements regarding future events and financial performance made under the Safe Harbor provision of the U.S. securities laws, including revenue and margin expectations, projections and references to trends in the industry and GTT's business. We caution you that such statements reflect our best judgment as of today, February 28, based on factors that are currently known to us and that actual future events or results could differ materially due to a number of factors, many of which are beyond our control. For a more detailed discussion of the risks and uncertainties affecting our future results, we refer you to our SEC filings. GTT disclaims any obligation to update or revise these forward-looking statements to reflect future events or circumstances. During the call, we'll also discuss non-GAAP financial measures, including certain pro forma information, which were not prepared in accordance with GAAP. A reconciliation of our GAAP and non-GAAP results is provided in today's press release and is posted on the Investor Relations section of our website. I will now turn the call over to Rick Calder. Rick?
Rick Calder: Thank you, Chris, and good morning, everyone. 2018 was an incredible year for GTT, delivering revenue and adjusted EBITDA growth of 80% and 64% for the full year and even higher growth in the fourth quarter of 83% and 93% respectively. Over the past two years, we have dramatically transformed the company, with three large acquisitions and seven smaller acquisitions, nearly quadrupling our revenue. Our powerful purpose of connecting people across organizations to any location in the world and to any application in the cloud has never been more relevant or important and our value proposition is stronger than ever. As a small share player in a multi-hundred billion dollar market, dominated by large incumbents, we're well positioned to continue our rapid growth trajectory for many years to come and the next step is to achieve our financial objectives of $3 billion in annualized revenue, $900 million in annualized adjusted EBITDA and at least $5 per share in annualized adjusted free cash flow within the next three years by the end of 2021. Our integration of Interoute is on track and we're past the halfway point at this stage and expect to complete all remaining activities by the end of the second quarter, consistent with the expectation we set when we announced the deal last year. Organization integration was completed back in September and most of the associated employee reductions are now done. Systems integration is nearly complete with all ordering, installation, billing and financial transactions now in GTT's systems. Network integration is also on track as the core network has been consolidated and point of presence consolidation is well underway. We continue to expect that we will achieve our $100 million annualized synergy target once integration is complete. Our integration of the Access Point acquisition is also well underway with substantial completion expected by the end of the first quarter. Moving forward, our acquisition funnel remains active and robust especially for smaller deals, which is our main focus right now. We continue to expect that we will close several smaller acquisitions every year at accretive purchase multiples that help us delever and return to our long-term leverage target of 4 times or less. On the rep-driven growth front, we delivered another record sales quarter, driving our backlog of new orders sold, but not yet installed, up to $10 million of monthly recurring revenue. Software-defined wide-area networking sales or SD-WAN have grown significantly in the second half of 2018. And while this service is still less than 1% of current revenue, it represents approximately 20% of our installed backlog. We had approximately 300 quota-bearing reps at the end of 2018 and continue to target a total of 350 by the end of 2019 and churn remains stable in the mid-1% range. Our main focus in 2019 is rep-driven organic growth and the key ingredients are: One, adding quota-bearing reps; two, driving rep productivity improvements in particular through our enhanced marketing programs; and three, keeping churn stable. We are hiring resources across all of our divisions to drive positive net installs and further improve our differentiated client experience. Our core values of simplicity, speed and agility are more critical to our clients than ever, as they seek a provider who is easy to do business with, fast and responsive, and strives to get to yes to meet their complex and constantly evolving networking needs to connect their people in more and varied ways. In summary, 2018 was an amazing and transforming year for GTT and I'm really proud of the incredible work put in by the GTT team all around the world, as we execute on our strategy, providing cloud networking services to large and multinational clients. With that, I will turn the call over to Mike, to provide some details on the numbers. Mike?
Mike Sicoli: Thanks, Rick. Fourth quarter revenue grew 83% year-over-year and 1% sequentially to $455 million. Fourth quarter adjusted EBITDA grew 93% year-over-year and 8% sequentially to $117 million. Our growth was driven by acquisitions with Interoute having the largest impact. Exchange rates had an unfavorable impact on our reported results as approximately 51% of our revenue is denominated in non-U.S. dollar currencies. In constant currency, revenue grew 86% year-over-year and 2% sequentially, while adjusted EBITDA grew 97% year-over-year and 9% sequentially. On a pro forma basis, including Interoute in prior period results and in constant currency, revenue grew 1% year-over-year and 2% sequentially, while adjusted EBITDA grew 2% year-over-year and 9% sequentially. The sequential and year-over-year pro forma increases were driven mainly by our smaller acquisitions. The adjusted EBITDA margin increased by over 100 basis points both year-over-year and sequentially, mainly due to synergy realization. We expect to drive another 300 basis points of margin expansion throughout 2019, as we complete the Interoute integration and associated cost synergies, moving much closer to our target of 30%. During the quarter, we incurred $16 million of transaction and integration costs, which are included in our reported SG&A, but excluded from adjusted EBITDA. We also incurred $15 million of exit costs, mainly related to Interoute, but also including Access Point. During the first half of 2019, we expect to incur approximately $10 million of additional integration costs related to Interoute, which will bring the overall total of transaction, transition and exit costs for Interoute to approximately $70 million, consistent with our prior estimate. Fourth quarter net loss was $53 million compared to net loss of $50 million last year and a net loss of $23 million last quarter. The net losses in each period were driven mainly by non-recurring costs associated with acquisitions as well as $46 million of non-cash expense last year, related to income tax adjustments and $22 million of non-cash expense this quarter from the change in fair value of interest rate swaps. For the full year 2018, revenue grew 80% to nearly $1.5 billion and adjusted EBITDA grew 64% to $363 million compared to 2017. In constant currency, revenue grew 77% and adjusted EBITDA grew 61%. On a pro forma basis, including Interoute and Global Capacity in prior period results and in constant currency, 2018 revenue grew 2% and adjusted EBITDA grew 4%. Fourth quarter 2018 capital expenditures were $16 million or 4% of revenue compared to $15 million last year and $29 million last quarter. Full year 2018 CapEx was $78 million or 5% of revenue. CapEx was lower than expected in the fourth quarter due to timing. And we continue to expect our CapEx to be approximately 7% of revenue going forward, driven mainly by success-based investments in support of specific revenue opportunities. At quarter-end, our cash balance was $55 million and we had $130 million of availability under our revolving line of credit, having used some of the revolver to fund the Access Point acquisition. Our outstanding debt balance was approximately $3.3 billion, consisting primarily of $2.6 billion of senior secured term loans maturing in 2025, of which roughly 1/3 is euro denominated and $575 million of senior unsecured notes maturing in 2024. Our interest rate hedges designed to mitigate the floating-rate exposure of the term loans maintained our fixed floating mix at approximately 60% fixed. The term loans do not carry any material maintenance covenants, but the revolver contains the maximum net secured leverage covenant in the event that it's drawn by 30% or more, which is outlined further in our 10-K. Our total net leverage ratio in the fourth quarter was approximately six times using pro forma combined trailing 12-month adjusted EBITDA including all acquisitions and expected cost synergies in prior periods. We continue to expect to reduce leverage over the next few years to our long-term target of four times or less through growth in adjusted EBITDA, cash flow generation and delevering acquisitions. Net cash provided by operating activities was $82 million for the full year 2018, a 30% increase compared to 2017. Note that 2018 includes three bond interest payments since the December 2017 payment was actually made in January 2018 due to the timing of the holiday. So, adjusting for that net cash provided by operating activities actually increased by approximately 250% in 2018. Adjusted free cash flow, a measure that shows the recurring cash flow of our business without the impact of acquisition related costs was $37 million in the fourth quarter or $0.67 a share, compared to $15 million last quarter $14 million last year. Adjusted unlevered free cash flow, which removes the impact of our capital structure and timing of interest payments was $93 million in the fourth quarter, compared to $56 million in the third quarter and $22 million last year. We expect to increase cash flow throughout 2019 as we realize expected synergies, finish paying out severance, contract termination and other transition costs associated with acquisitions, driving towards our objective of at least $5 a share in adjusted free cash flow that Rick mentioned before. Before we move on, I want to briefly highlight a change we made in the presentation of deferred revenue, which is to eliminate the gross up of AR and short-term deferred revenue associated with month in advance billing, for which no payments have yet been received. Going forward, balances will only be presented with respect to future service periods if the cash has already been received. We believe this methodology is consistent with others in our industry and more straightforward for investors. The rest of our methodology and disclosure with respect to deferred revenue remains the same as outlined in our 10-K. This concludes our prepared remarks. And we'll now open up the call for questions. Operator?
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] And today's first question comes from George Sutton of Craig-Hallum.
George Sutton: Thank you. Nice results guys. Rick, I've got a big picture question for you. You mentioned in your prepared comments that you've never been -- your services have never been more relevant and never more significant. I wondered if you could discuss that theme and then also bring into context the competition that you're seeing and also the pricing environment.
Rick Calder: Great, George. Thank you for the question. If you think GTT exists to help large corporate CIOs and their teams help connect their people across their organizations around the world and to any application in the cloud, and as we walk in and have conversations with our existing clients and new clients we see the demand for connectivity in more and varied ways increasing dramatically. Clearly in our industry price per bid continues to come down but the demand for incremental bandwidth to every office location that a CIO has in large corporation and to the movement of the IT applications from the four corners of their offices into the hyperscale and other cloud service providers continues and is actually accelerating. And lastly the use of higher and more Internet bandwidth at each and every location is continuing to drive that bandwidth demand. And probably the last little piece is file size, probably in each of our lives we can think about the types of video, data, voice files that we're sending across corporate networks is just increasing. So that bandwidth demand is creating that opportunity for us to go into corporations that we don't have today and help them with that challenge of connecting their people in more and varied ways. And so we see that as a huge opportunity for us in this multi-hundred billion dollar market to grow from a player that is less today than 1% market share and be able to take share from the incumbents who have the clients today, but because every client needs more they're addressable to us. That transition phase is always complex and difficult to move through it and it generally starts slowly and accelerates as you crack a new client. But we just see a tremendous opportunity for growth over the next three to five years as we capitalize on these market trends that are going on.
George Sutton: Great. My second and last question is more on the ground. But you mentioned rep driven growth goals or -- that being your biggest opportunity this year, but we consistently are seeing you more and more in the channel. So I wondered if you could just give us a sense of expectations for growth organically this year. How much could come from reps? How much could come from the channel?
Rick Calder: Well, we think all of them is reps. We're very bullish on the channel. We clearly think it's a great opportunity for us. And we have reps that are specifically assigned to the channel. We separate it out in our business both in the Americas division as well as in the U.K. and Europe division, separating out channel reps that are dealing with channel partners both agents and system integrators and other types of partners who can multiply the value of our sales force given the sales relationships that they have. And so I would say it's probably the number one area we're actually adding quota-bearing sales reps in. As we noted in our prepared remarks, we finished the year at about 300. We've added since then with an objective of going to 350. And I think it is probably the piece that gives us the biggest leverage is we continue to see performance, which we have in the fourth quarter. Adding quota-bearing reps will allow us to take the business which was over the past couple of years and as we added on the three large acquisitions and seven smaller ones that was slightly declining to turning it to a growth business over the next three to five years. So channel though absolutely to your point we see that as a key focus of having incremental channel managers that are taking advantage of the real opportunities for channel partners who have deep relationships with the enterprise clients around the world. And I think that will be a big, big part of our growth. What we're also seeing as the industry consolidates there are fewer great options for many of these channel partners. So that's -- that really augurs to our benefit in terms of our ability to really take advantage of the channel opportunity.
George Sutton: Perfect. Thank you.
Operator: And our next question today comes from Jonathan Charbonneau of Cowen and Company. Please go ahead.
Jonathan Charbonneau: Great. Thanks for taking the question. In terms of your sales force what percent would you say are fully ramped today? And how comfortable do you believe they are in selling across the entire product fleet or business? And then separately are there any larger churn events that you are currently aware of? Thank you.
Rick Calder: Great. Thank you very much, Jon. As we said we're right around 300 at the end of the year growing. We're more than that now. And I'd say as we consolidated the company between Interoute and legacy GTT we use that as an opportunity to keep more of the tenured sales force. So I would say probably 75% or so are at ramp and we have about 25%. And we think that's a good ratio at this stage, 75% tenured, 25% non. We count all of the folks that have had more than 12 months of tenure from legacy Interoute. That's tenured to us. That said they clearly have a growth and a learning curve coming into GTT as well, but we still count them in that 75% bucket. But I would say they still have some maturing to go with our business. And so I think as we continue to grow we have a real opportunity to add more. One of the things that we've done we talked in our prepared remarks about market specific marketing programs. One of the market -- one of the biggest dollar marketing programs we've put in place is something called Sales Development Reps, which is a so-called farm system for the business to and we're approaching 50 non-quota bearing, we don't count that in the quota-bearing. We associate it with our marketing spend to develop our next generation of sales reps moving from Sales Development Rep to account representative, serving some of our large -- smaller accounts to account manager account director serving some of our more senior accounts. So we think this will be a very effective program to actually continue to grow the scope and scale of the sales force at the same time that we continue to recruit some of the best talent in the industry to join our team.
Mike Sicoli: To your point about the -- how comfortable are they selling the full portfolio, we do pride ourselves on training our reps to be able to sell every product in the portfolio. But as you would imagine different reps have different levels of experience and skill selling the various products. So we do supplement with sales engineers and product experts and we did, actually earlier this year, create a voice overlay team a small group of folks to really emphasize voice. If you see our product mix, only 4% of our revenue is voice. And every single one of the customers we sell data to has voice. And we can offer enterprise-grade voice in a quality way. So, we should be selling more voice and we did add a couple of people to help emphasize that. And if that goes well, I'm sure we'll add more. And then on your question about large churn events, there's nothing we're aware of right now. But as you know the things that happened last year were somewhat unexpected, so unexpected things do happen from time-to-time, but there's nothing we're aware of right now.
Jon Charbonneau: Thank you.
Operator: And our next question today comes from Mike McCormack of Guggenheim Partners. Please go ahead.
Mike McCormack: Hey, guys. Thanks. Maybe just a quick comment Mike on the underlying Interoute Global Capacity revenue trends to the extent that you can still sort of see that. And then just thoughts on some of the 5G stuff. A lot of the carriers out there have been talking about enterprise opportunities, just trying to get a sense for where you guys fit in that sort of 5G ecosystem? Thanks.
Mike Sicoli: Sure. In terms of the trends in the legacy businesses my expectation going into those deals was that it would be at least a year maybe two before either one of those would turn positive. I think Interoute had a higher probability of turning positive sooner than Global Capacity did. So, I wouldn't really have expected either one of them to be growing maybe just yet. That being said, we don't break the business out that way. So, I couldn't give you a precise answer. But I don't -- I haven't seen anything that probably would have changed my view on what I thought going in on the front. And both of those businesses are probably still a slight drag inside our consolidated results. I'll let Rick handle the 5G question.
Rick Calder: Yes, on 5G I was actually with an investor yesterday asking the same question. It is -- we see 5G as a nice access option. As you know we work to provide diverse secure connectivity to every location in the world. We really work very hard with clients to pick the appropriate options between the various types of access that are out there. We think there are four ways to any commercial location; copper, coaxial cable, fiber, and wireless. And traditionally, we've used fixed line-of-sight point-to-point microwave wireless in select locations. The biggest thing we use today is 4G wireless and we use in very select remote locations VSAT wireless. And we see 5G as the next evolution of 4G to get into select buildings. One of the challenges with it is its penetration. You frequently find that the -- the telecom closets in buildings tend to be buried within the center of a building and so the propagation characteristics are difficult. With antenna technology and external technology, we think it may be a very nice access method to get to select location. So, we have direct relationships with the existing mobile network operators today to buy 4G and we love to be able to buy 5G when it's commercially available as a companion access option to provide diverse and secure connectivity for client locations. Do we expect that to be a material part of our business this year? Absolutely not, probably not even next year. But clearly, we'd love to have it as one of the other last-mile local access options for our clients.
Mike McCormack: Great. Thanks guys.
Operator: And our next question comes from Walter Piecyk of BTIG. Please go ahead.
Walter Piecyk: Thanks. You mentioned on the call about the 300 bps of margin improvement across 2019. I thought you had established your reorg plan for Interoute at some point during the course. Maybe it started a little bit. I mean the plan was set I guess September/October-ish, start a little bit I guess in December. So, I guess the question is, are those 300 basis points going to be front-end loaded? And is there an opportunity for incremental upside to that kind of view on your margin expansion opportunities?
Mike Sicoli: Sure. And yes the margin expansion opportunity is really related to the Interoute synergies. There's some ongoing margin expansion opportunity in the business, but the biggest piece is the realization of the synergies. There's an opportunity for both for it to be a little bit more front-end loaded and for it to have some upside. Not really sort of prepared to give specifics around exact timing. I think the -- nothing's really changed from the way we thought about it previously which is that we expect to be done with the integration by the end of the second quarter. And therefore, by the time we get to the end of the second quarter, the majority, if not all, of the synergies should be in the run rate. And certainly for the third quarter whatever synergies we've got, it should be on a run rate from there. But there is a longer tail of savings opportunity that comes from M&A and integration, particularly on the network side. And the network team is doing a terrific job of identifying those opportunities and sort of knocking them out as we move along. The PoP consolidation and the heavy network rooming grooming is really the piece that takes the longest and there could definitely be some upside in the back half of the year to that number.
Walter Piecyk: Got it. And Mike can you give us any type of update on percentage of revenue that's off term? I think that was -- we've talked about that on prior calls. And that was going to be kind of an ongoing process. Has there been any change in that or any kind of different outlook as far as how that will progress through 2019?
Mike Sicoli: No real change just solid progress. Each quarter that percentage goes down a couple points and the teams are really focused on it. And as Rick mentioned we've a lot more resource in our divisions to handle a lot of functions not just sales and lead generation, but also client service. And it is the number one priority of those client service teams to continue to move the needle on re-terming the base.
Rick Calder: So, Walter, the top two tiers of clients; premier and gold for us which represents over 80% of our business, we assigned two in the division -- two designated -- the leader of the account the client rep, the sales rep that's on that account. Plus each one gets a separate client relationship manager. And they have separate quota associated with re-terms. There are commission plan that's specifically about re-term. The rep is also paid. They are not working at cross-purposes. They are working at the same purpose to re-term and up-sell and upgrade that client as they approach out of term. We've seen -- we continue to see a trend downward in terms of our out-of-term and we think it's an important initiative for us to continue to up. And generally, we see that -- as we've said before that marginal trend is up that the marginal revenue trend on re-term is up and we get downgrades as well. But we generally continue to see in our business more bandwidth demand so that as clients re-term the general trend is to increase revenue.
Walter Piecyk: Got it. And just one last question. On the deferred revenue, again, I think what we all appreciate you being able to strip that kind of noisy month-to-month stuff out so that would be helpful going forward. You would -- I think on the last call talked about maybe for the real deferred revenue stuff, the stuff that truly isn't kind of non-cash revenue. I think you said $30 million or $40 million for the year. Is there any change in that? Or can you give us a sense on -- I know the 10-K is coming out tomorrow, but any sense on how much was deferred revenue reversals in this particular prepaid rent or whatever you're calling it, again not the month-to-month stuff, but the kind of the real IRU stuff for this particular quarter? And whether again your annual kind of view on that impact for 2019 has changed versus what you had mentioned on the prior call?
Mike Sicoli: Yes. No change in what we talked about before. I think the number that's yet to be amortized for 2019 is still in that sort of $55 million to $60 million range like it was last quarter. And then our expectation is still that we would sell somewhere between $20 million and $30 million of new this year, so that would result in the delta of call it $30-ish million in terms of the cash versus non-cash, so no difference there. And in terms of the fourth quarter, I don't have the specific number in front of me, but I do believe it was also consistent with the kind of where we were prior to the change in maybe that $5 million to $10 million range for the quarter.
Walter Piecyk: Yes, got it. Thank you very much.
Rick Calder: Thanks Walt.
Operator: And our next question today comes from Frank Louthan of Raymond James. Please go ahead.
Frank Louthan: Great. Thank you very much. It sounds like from some of your comments on the sales force maybe a little bit of a shift this year to kind of growing the business a little bit better organically there. Can you walk us through some of the more specific tactics? You mentioned kind of adjusting making some changes to adjust rep productivity. What are some of those specific things you're going to do to bring that up? And how much do you think that can -- rep productivity can improve over the next 12 months?
Rick Calder: Yes. Thanks for the question Frank. Yes, we're very firm. I mean this is a key year for us to -- and we feel very good about our ability to demonstrate rep-driven organic growth in -- through 2019. We think we have -- and it's really three components. The number of reps and we think we have a site scale force that can help us get there with 300 growing to 350, we think as at the back-end churn. We think it's in, in a reasonable range than the same range. Would we love to take a few tens of points out of it? Absolutely. But in the mid 1% range, that's -- we're very comfortable with that churn level. And so productivity -- so I did a couple color comments on productivity. We actually had one of the best quarters we've ever had in fourth quarter as particularly in the U.K. and Europe division in terms of a lot of the new sales reps that joined GTT. And I think there's a couple things going on there. The first one is, frankly simplicity really focusing reps around our core value proposition of cloud networking which you see on our current investor presentation on page 7. Wide-area networking with the lead initiative being SD-WAN now having 20% from basically ground zero, six quarters ago to 20% of our backlog being in software-defined wide-area networking where our value proposition is incredibly strong and then adding Internet and transport services on top of that. The only thing to sort of hard back to a question earlier, the only thing that Frank we've been a little disappointed on is voice. Voice used to be the majority of where everyone sold in our industry 20 year, 30 years ago and now voice is something that people say, don't bother me with voice. I want to sell data, networking and the connectivity offerings. So as Mike noted, we've asked each division put in overlay quota-bearing sales forces to basically focus on the incremental opportunity with our existing accounts to sell voice. It represents a very small part of our business right now and the total addressable market for voice is enormous. And we think we have not earned our fair share with that. So that's -- and that even -- provides even more focus to the core reps to focus on those three core areas: wide-area networking, Internet services, transport infrastructure to the degree their clients have those needs. So it's a really, really focused effort and simplicity around our product line. And we have eight to nine products that are meaningful to us and we -- in terms of training, development making sure that throughout the life cycle of the product, coding, ordering, installing, billing, maintaining that everyone is focused on those keys. And the addressable market as I mentioned earlier is enormous. And I think our ability to take share in it is there. We are augmenting with marketing programs, we talked about whether it's sales development reps to help crack into new accounts with most of our reps are very focused on our existing base which have big growth opportunities. We're generally relatively lightly penetrated in all of our existing accounts. And then cracking new accounts is key for us. We think our target universe is relatively confined. We have probably 200 accounts that represent half our business, another 500 accounts -- 500, 600 that represent another 30% of our business or 80%. And there's probably 15,000 great target opportunities for us to go get and we're very focused on trying to crack into those with these new enhanced marketing programs, whether it's digital marketing, direct targeted traditional marketing and sales development reps that are basically working to crack an appointment into this new base. So we just see a real opportunity and all those will increase productivity. It's one of the bigger levers we have. We keep churn, the same increase productivity then we feel comfortable adding another 100 reps and then our growth can really accelerate. So as we said, if we continue to see the trend in productivity that we've seen the ability to grow much faster is simply 100 to 200 reps away.
Mike Sicoli: One more point on that too as we talked about earlier, the Client Relationship Managers. The majority of our sales still come from incremental sales to our existing clients. And so to the extent that there's more resource now pressed against the client helping with whatever the client needs, I think just helps make our reps a lot more productive. And we've added a -- we add all those things together, we've added a significant amount of support resource for our sales team over the last 12 to 18 months. We've probably added two support resources across the various function for every rep that we've added to the business. So it's a significant investment in productivity.
Frank Louthan: Okay, great. That’s very helpful. Thank you.
Mike Sicoli: Thank you.
Operator: And our next question today comes from James Breen of William Blair. Please go ahead.
James Breen: Thanks, just couple questions. One again just on the sales side, you talked about the productivity you're seeing and goal of getting to 350. Given the size of the company now around $2 billion in revenue and absent obviously any future M&A you do, what do you think the number is from a sales perspective to get you to the sort of mid-single digits to 8% organic growth? And then just strategically across the Interoute GTT base now that you've sort of got things more integrated. From a customer perspective, can you give us any color around sort of the Interoute customers that maybe didn't have overlap with before and how that's sort of impacting the broader GTT business? Thanks.
Rick Calder: Yes, great. In terms of three real drivers to rep-driven growth again, number of reps which you ask the question on, productivity and churn rate. Clearly, we can be at mid-single digits if we had material change in churn or even significantly higher productivity. Our plan is to think about continuing to add reps to add growth as we said the answer to the last question. So I think the primary -- and we'd love that we want to see continued marginal improvement in both productivity and churn rate, but we feel comfortable with where we are with both of those. And we expect both of those to continue to have marginal improvement productivity up churn down. And so the real key over time to see higher levels of rep -- of productivity is reps. And so do we expect to be in some mid-high single digits with 300 at the beginning of the year? No. We don’t expect to be there this year, but we expect to be positive and growing. And our ability to proactively add reps both through our new farm systems Sales Development Rep, account representative, account executive, account manager as we continue -- and hiring from the outside. And most importantly, reps that we get through acquisition as we continue to refine and attract and retain some of the best reps that we get from our acquisitions. So short answer to your question, I think we -- in terms of mid-single digits probably closer to 350 to 400 productive reps to be at a slightly higher organic growth rate. That said, our business can support 500 to 600 reps. There's no reason we can't be a significantly larger productive sales force at this stage, given the scope and scale and the opportunity we have. In many of the markets that we're in today, we are very lightly covered. Back to the point of only having less than 1% market share, our challenge is hiring too quickly, generally is a recipe to spend money without getting great return on it. So we want to hire a little bit more cautiously, continue to see all the trends in the right direction which we're absolutely seeing and then grow organic growth over the next two, three years as we're productively adding sales force to the equation. That said, we see the opportunity to have a significantly larger sales force for the scope of the opportunity we have in North America, U.S., Canada and throughout Europe across our U.K. and Europe division.
Mike Sicoli: And I would also add to that, that we're fairly measured in the pace at which we add the reps. There's been a lot of people who have ramped sales forces faster and not had that be an effective use of SG&A. It's a balancing act. Do you want to go fast? You just want to make sure that you're getting the right people and that you're onboarding them properly so they can be productive quickly. On your second question about the Interoute clients, I mean there's a lot of really positive sentiment coming from the Interoute base that didn't really think of Interoute as a provider historically as global, European absolutely, but very low, if any wallet share outside of Europe for those legacy Interoute clients. And they all have or most of them have significant networking needs. One of their top two customers who was buying a lot in Europe actually had their latest quarterly business review in the U.S. to talk about GTT taking on their U.S. connectivity needs which is almost as much spend as it is in Europe. And there's a number of examples of that. So the networking focus clients are I think very excited about the truly global GTT platform and the ability we have to really seamlessly access their applications, connect their people as Rick was talking about before. So it's pretty exciting to see.
Rick Calder: And we've seen that on both sides of the ledger, Jim. I mean as Mike said I had a chance to sit since the last earnings call in several sort of annual reviews with very large clients. And they all say the same thing. We never historically would have given in for legacy GTT clients where majority of our spend is in the U.S. We never historically have thought to give you a lot of our European business. That's totally changed. A lot of them are saying here we want you affirmatively to bid for most of our sites in the U.S. because we think you're one of the key competitors that can serve multinationals in Europe -- headquartered in Europe and North America. Same exact meeting we had which is ironic that we'd always met with this very large client in Europe and they said we want to meet in the U.S. because we want -- we love what you do. We've never been willing to give you anything in the U.S. Now we do. And we had sort of the staff person there and we want to understand how can we grow, which they – it makes the point that even our largest clients have a tremendous amount of more business to give us. We're focusing our reps on that base of accounts we have to grow and expand across the sort of focused product line that we have.
James Breen: Great. Thank you.
Operator: And our next question today comes from Brandon Nispel of KeyBanc Capital Markets. Please go ahead.
Brandon Nispel: Great. Thanks for taking the questions. Again, I guess, on organic growth. What was it -- the rep driven growth during the quarter? And maybe can you, I guess, alternatively size the Access Point contribution during the quarter? Secondly, could you comment on maybe any potential impact from the Windstream reorganization? We did notice allowance for doubtful accounts increased. I think it was about $8 million sequentially. And then, I may have missed it, but what is the remaining synergies left to achieve from Interoute and what did you recognize during the fourth quarter? Thanks.
Mike Sicoli: Sure. I'll take those in reverse order. In terms of the remaining synergies, it just sort of flipped the way we talk about it into a margin discussion. So the 300 basis points is just $55-ish million remaining. And the way we had previously talked about the remaining synergies was confusing to a lot of people. So I was trying to be less confusing by just sort of getting right to the point which is, what's the margin expansion expectation associated with the remaining synergies. So they're basically the -- it's the same number. It's just a different way of talking about it. In terms of Windstream, they are both a customer and a supplier to us. They're not a top 10 on either front. So we wouldn't expect any significant impact, no matter what happens. That being said, we don't expect any significant impact, because obviously our services are critical to continuing their business. And obviously, even in a bankruptcy process, continuity of business is very important. And so we have no expectation that there will be anything significant there if at all. And in terms of the breaking out Access Point versus not, as you know, we don't break out the small acquisitions. We don't do the pro formas for that. It's pretty clear that all of the growth in the quarter came from the Access Point acquisition. Typically, as we've talked about, the revenue multiple is around 1 times for these smaller acquisitions and there's a range on that. Sometimes it's a little lower than 1 times. Sometimes it's a little higher. And over the past few years that's probably been in a, let's say, 0.8 to 1.2 range, sort of, averaging out to 1. We don't give it for each deal, but what I would say is, if it was ever significantly different than that, if it wasn't 1 times revenue we would say something about it. But if we don't say anything, the presumption is, it's consistent with how we've talked about it in the past.
Brandon Nispel: Great. Thank you.
Operator: And ladies and gentlemen, this concludes our question-and-answer session. I'd like to turn the conference back over to Richard Calder for any closing remarks.
Rick Calder: Great. Thank you. And I'd like to turn the call over to our Executive Chairman, Brian Thompson, for some closing thoughts.
Brian Thompson: Thanks, Rick. In listening to everybody, I wanted to emphasize one thing that is so very important to us as large shareholders and that is that the company is -- as I said at the end of the last call, is looking at the long-term plan and performance. And I think the last quarter showed that we're hitting on all eight cylinders. The company is doing exactly as we had projected it would in terms of the integration of the acquisition, in terms of generating the kind of revenue growth and improved margins that you all should have expected. And from my point of view this is a terrific phone call. I think that the one thing that is an enigma to me continues to be, as I said, at the last meeting. I checked recently to see what's happened to the shareholdings of our largest and most knowledgeable shareholders and it turns out that they haven't changed. If anything, over the past quarter, well, the pricing structure and the marketplace is driven by what I don't understand, has created an opportunity for people to buy and just as I have, so have some of our largest more knowledgeable shareholders. I think the biggest issue we face is the fact that I can't understand how our largest shareholders are still holding the shares and yet, the short sale also have created short interest that were just unbelievably difficult to understand. We're still sitting with large short sales, which means that people, for some reason, are trading in ways that they don't understand what the company is doing or more importantly, they're using the market to their own ends to do whatever they do to create volatility in the shares. In any event, I think, for those of you who are understanding who we are and what we're doing, it's not a question of, for example, what is the earnings per share on any given quarter, because we're doing the acquisitions and accounting rules required you to do things like taking the spread that we had to take in a non-cash charge, because of the change in the long-term interest rates. Those are the kinds of financial accounting things that really impact what people look at as earnings per share. We are not a matured company. We're a growing company. We're just beyond being a start-up company because of the way in which we approach our growth, because the market gives us that opportunity. I think this team is really performing exceptionally well. It's the first quality team, the fact that they're able to integrate the acquisitions that we've been able to do in the last couple of years and create, not only the uniform company that we've got worldwide, but bringing onboard the kinds of technology and products that will make us a factor to be reckoned with throughout the world. And the future really requires support from the standpoint of investments. I am there. When the market opens up, I'm sure that many of our large investors will again take advantage of the craziness and volatility to improve their positions, because I think the future portends really well. I thank you all for listening to our call. And I look forward to seeing you and hearing from you in the future.
Rick Calder: Great. Thank you very much Brian and thank you, everyone. We look forward to reporting in 2019 as we focus on driving rep driven organic growth and complementing that with selective delevering strategic acquisition. So thank you again and talk to you on the next call. Cheers.
Operator: Thank you, sir. Today's conference has now concluded. And we thank you all for attending today's presentation. You may now disconnect your lines and have a wonderful day.